Operator: Good evening, and welcome to MillerKnoll, Inc.'s Quarterly Earnings Conference Call. As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Wendy Watson, Vice President of Investor Relations. Good evening.
Wendy Watson: And welcome to our first quarter fiscal 2026 conference call. On with me are Andi Owen, Chief Executive Officer, and Kevin Veltman, Interim Chief Financial Officer. Joining them for the Q&A session are Jeff Stutz, Chief Operating Officer, John Michael, President of North America Contract, and Debbie Propst, President of Global Retail. We issued our earnings press release for the quarter ended August 30, 2025, after market closed today. It is available on our Investor Relations website at millernoll.com. A replay of this call will be available on our website within 24 hours. Before I turn the call over to Andi, please remember our safe harbor disclosure regarding forward-looking information. During the call, management may discuss information that is forward-looking and involves known and unknown risks, uncertainties, and other factors which may cause the results to be different than those expressed or implied. Please evaluate the forward-looking information in the context of these factors which are detailed in today's press release. The forward-looking statements are made as of today's date, and except as may be required by law, we assume no obligation to update or supplement these statements.
Operator: We also refer to certain non-GAAP financial metrics, and our press release includes the relevant non-GAAP reconciliations. With that, I'll turn the call over to Andi.
Andi Owen: Thanks, Wendy. Good evening, everyone, and thank you for joining us tonight. We are very pleased with our strong start to fiscal 2026. Our Q1 results significantly exceeded our expectations. Before we get into the financial details, I'd like to recap a few highlights from the quarter including leadership names, progress on our strategic initiatives, and an update on what we're seeing in our markets. First, I want to touch on our recently announced board chair succession plans and leadership changes. I'd like to thank Mike Volkema, our outgoing board chair, for his dedication and leadership for the past 25 years, and to congratulate John Hoke as he prepares to succeed Mike as board chair. John has served on our board since February 2005, and I'm looking forward to working closely with him in his new role. We have a strong bench of talent at MillerKnoll, and I'm thrilled to congratulate Jeff Stutz on his well-deserved promotion to Chief Operating Officer. Jeff has impacted nearly every corner of our business during his 25 years with the company, including as Chief Financial Officer for the past ten years. As Chief Operating Officer, Jeff is responsible now for our international contract business, our Europe-based brands, and our global manufacturing and distribution. This evening, Kevin Veltman is joining us as interim CFO. Many of you know Kevin from his prior roles with MillerKnoll over the past ten years, serving in a variety of leadership positions, including investor relations, and as the integration lead for the Knoll acquisition. When we spent last quarter, I set out our priorities for this fiscal year. We are focusing on accelerated product creation and innovation, consistent execution, and prudent cost management while investing for profitable growth across our businesses. In the four years since we combined the strengths of Herman Miller and Knoll, we've had the time to perfect how we go to market, with the full strength of our collective. To integrate our world-class dealers who are now well-versed in our unmatched product portfolio. And we are now capitalizing on our opportunities. Every day we're presenting our customers with state-of-the-art solutions for what's possible in their spaces. Implementing our geographic and channel expansion plans, and developing innovative new products. We have a balanced long-term approach to our businesses, with the cash flow and balance sheet strength to capitalize on our multiple opportunities. Now on to the quarter. As I just mentioned, we outperformed our expectations and delivered strong revenue and profitability, with consolidated net sales growing almost 11% and adjusted EPS increasing 25%. Our results underscore the strength of our business model, strong execution by our team, improving conditions in several key and continued progress on our strategic growth initiatives. In our contract businesses, we believe growth momentum is building. More and more companies are recognizing the benefit of bringing their employees together and looking to refresh their spaces. Office leasing activity for class A space continues to be robust in many markets, with Manhattan leasing activity in August well above the ten-year monthly leasing average. Orders in the industry and dealer optimism are up, and we are continuing to see strength in our own preorder metrics with our twelve-month funnel up year over year in both North America and international contract. On the product side, in addition to healthcare solutions from Herman Miller, private office solutions from Geiger, AIDS, Weiser, and the new workspace solutions from Knoll that were all introduced at Design Days, we launched an electrostatic discharge version of one of our icons, the Aeron chair, allowing it to be used in data center clean room environments. We are excited to see such strong interest in and opportunity for this product globally. Turning to our global retail business. First, a reminder that our growth strategy for this business is currently focused on the North America region, and comprised of four levers: opening new stores, expanding our product assortment, growing e-commerce sales, and increasing our brand awareness. Kevin will discuss the segment financials, but I want to share some North America retail-specific performance for the quarter which includes all of our North American operations with the exception of Holly Hunt. Net sales in the North America region were up 7% compared to last year, and North America orders were up over 5%. Web traffic in North America was up a strong 17% over last year. We opened four stores during the quarter, two new DWR locations in Sarasota, Florida and Las Vegas, and new Herman Miller stores in Chicago and Philadelphia. In the second quarter, we expect to open four additional stores, a DWR in Salt Lake City, and Herman Miller stores in Nashville, and in El Segundo and Walnut Creek, California. For the full fiscal year, we anticipate opening a total of 12 to 15 new stores in the US, as we execute on our strategy to more than double our DWR and Herman Miller store footprint over the next several years. Onto our retail assortment expansion initiatives. This year, we're launching 50% more product newness than we did in fiscal 2025. And new product is already positively impacting our performance with new product order growth of over 20% in the quarter. This bodes well for the future. First, as you might expect, we see a direct correlation between categories with the most newness and overall growth. Second, new products are driving out demand from customers who are brand new to MillerKnoll, so assortment expansion fosters new customer acquisition and provides a platform for building long-term customer lifetime value. Before I turn it over to Kevin, I want to thank and recognize our associates around the world for their hard work and dedication to MillerKnoll. Our performance this quarter reflects their commitment to outstanding execution. Our people are the key to our success. And I'm proud that MillerKnoll was recognized by SAS company as the best workplace for innovators, and also named overall as a great place to work. Kevin, welcome. I'll hand it over to you.
Kevin Veltman: Thanks, Andi, and good evening, everyone. I'll start with an overview of our first quarter performance followed by our outlook for the second quarter. In the first quarter, we generated adjusted earnings of $0.45 per share, significantly outperforming the midpoint of our guidance and 25% ahead of prior year, driven by better than expected sales and strong gross margin performance that benefited from leverage on our sales growth. Consolidated net sales in the first quarter were $956 million, above the midpoint of our guide. Versus prior year, net sales were up 10.9% on a reported basis and up 10% organically, driven by strength in all segments of the business. New orders at the consolidated level in the first quarter were $885 million, down 5.4% as reported and 6.2% lower on an organic basis. As a reminder, we expected lower orders in the first quarter due to the $55 million to $60 million in pull forward activity we saw in the fourth quarter in our North America contract business, related to our pre-announced tariff surcharge and list price increase. I will touch more on this later in the call. In keeping with this same dynamic, our consolidated backlog by $67 million to $691 million. First quarter consolidated gross margin was 38.5%. Gross margin included approximately $8 million in net tariff-related impacts. As mentioned last quarter, we expect margins to be negatively impacted through the first half of our fiscal year by tariffs currently in place but remain confident our pricing actions will ease these in the second half of the fiscal year. Turning to cash flows in the balance sheet. We generated $9 million in cash flow from operations in the first quarter, and ended the quarter with $481 million in liquidity. In August, we refinanced our term loan B to extend its maturity to February 2032. In connection with this refinance, we incurred a noncash debt extinguishment charge of $7.8 million that is recognized in other expenses on the P&L. We finished the quarter with a net debt to EBITDA ratio, as defined by our lending agreement, of 2.92 turns, comfortably under the maximum limit defined in those agreements. With that, I will move to our first quarter performance by segment. In the North America Contract segment, net sales for the quarter were $534 million, up 12% from the same quarter a year ago. New orders in the period were $492 million, down 8% from last year. Given the order pull forward dynamic in 2025, in order to better normalize the order trend, order growth in the segment over the prior year for the combination of 2025 and 2026 was 3.3%. Shifting to earnings in the North America contract segment, first quarter operating margin was 10.7% compared to 3.4% in the prior year. Adjusted operating margin improved 200 basis points in the quarter to 11.4%, illustrating the benefit of fixed expense leverage we have in this business from higher sales volumes. This operating margin strength was partially offset by the net tariff impact. In the international contract segment, net sales in the first quarter improved to $168 million, up 14.4% on a reported basis and up 11.3% on an organic basis year over year. New orders during the quarter were $155 million, 6.5% lower than prior year on a reported basis, and 9.2% lower organically, primarily from lower year over year orders in the APMEA and Latin America regions, partially offset by higher orders in Europe and the UK. First quarter reported operating margin for the International segment was 8.1%, compared to 6.5% in the prior year. On an adjusted basis, segment operating margin was 8.5%, down 60 basis points primarily from the regional and product mix of sales in the quarter. Turning to our Global Retail segment, net sales in the first quarter were $254 million, up 6.4% on a reported basis and up 4.9% organically. New orders in the quarter improved to $239 million, up 1.7% to last year on a reported basis and up 0.3% on an organic basis compared to last year. Operating margin in the Retail segment was 0.6% in the quarter compared to 2.2% last year. On an adjusted basis, operating margin was 1.2%, 190 basis points lower than the prior year, primarily from new store opening costs, increased freight expense, and higher net tariff-related impact. As Andi mentioned, we opened four new stores in the first quarter. We expect to open four additional stores in the second quarter, and anticipate opening a total of 12 to 15 new stores in the full fiscal year. Now let's turn to our Q2 guidance and outlook, which is informed by our most up-to-date information on tariffs and related mitigation efforts. For 2026, we expect net sales to range between $926 million to $966 million, down 2.5% versus prior year at the midpoint of $946 million. This implies our expectation that sales for 2026 will be up approximately 3.8% at the midpoint, and this first half view normalizes the impact of the $55 million to $60 million of order pull ahead into our fiscal 2025 fourth quarter. Gross margin is expected to range between 37.6% and 38.6%. Adjusted operating expense is expected to range $300 million to $310 million, and adjusted diluted earnings are expected to range between $0.38 and $0.44 per share. The gross margin and EPS outlook includes our estimate of the net impact of tariffs currently in place. In total, we expect net tariff-related impact to reduce gross margin in the second quarter between $2 million and $4 million before tax or between $0.02 and $0.04 per share after tax. We believe our collective mitigation actions will fully offset these costs as we move into the second half of this fiscal year. Another factor included in our expectations for operating expense and earnings per share are the costs associated with planned new store openings in our global segment. As a reminder, due to the time it takes to prepare a new store for daily operation, we normally begin to incur occupancy and other pre-opening expenses one to two quarters before the first products are sold. In the first quarter, this expense was approximately $3 million. We estimate approximately $4 million to $5 million in incremental operating expense tied to these new locations in the second quarter. We expect to incur a similar range of incremental expense over the prior year in each quarter this year related to the planned new store openings. For all other details related to our outlook, please refer to our press release. I will now turn the call over to the operator and we will take your questions.
Operator: We will now open the floor for questions. If you would like to ask a question at this time, simply press star followed by the number one on your telephone keypad. Our first question comes from the line of Reuben Garner with Benchmark Company. Reuben, please go ahead.
Reuben Garner: Thank you. Good evening, guys, and congrats to Jeff and Kevin.
Andi Owen: Hey, Reuben. How are you? Good. Thanks.
Reuben Garner: Doing well. So I guess to start off in The Americas, I guess if I try to normalize for the pull forward, you've kinda been consistently growing in the low to mid single digits the last I think, three or four orders for both revenue and orders. Okay. I guess, one, do I have that right? Okay. And two, can you break down what that looks like from a volume and a pricing standpoint? Is that evolving, I guess, in the more recent quarters, is it more volume driven than price? And then how do you feel about that trend in the last four quarters? And based on what you're seeing here, of late, I don't know if things have, you know, strengthened or weakened throughout the quarter. But how do you feel on a go forward about those numbers?
Kevin Veltman: So, Reuben, I could unpack your question. Maybe to start, you're thinking about it as the right way looking for NAC at the combination over the two quarters between Q4 and Q1. And if you normalize for NAC, it's itself on a trailing two-quarter basis, it's averaged out to 3.3% growth over that period of time. Your other question was related to price versus volume, and volume was a key driver for us. We expected with the pull forward, we might see some lighter demand in the quarter, and underlying demand was more positive during the quarter. We also had a surcharge adjustment during the quarter in July that customers also responded to by placing some orders. And so we had fairly strong orders in July. And given our lead times, we were able to ship some of that activity as well. The last point I would make as we look at external demand indicators right now is we mentioned in the prepared remarks, the funnel that's looking positive year over year, additions to the funnel, mock-ups were all looking positive. And then early in the quarter, we often comment our orders are up about 6% on a consolidated basis in the first three weeks of the quarter as well.
Andi Owen: Yeah, Reuben, you'll recall from the last call, thank you, Kevin, we talked a little bit about the makeup of the funnel and international contract as well as North America contract. And what we've seen is a consistent change from orders that are four and five quarters out to orders that are one to three quarters out. Those orders have more certainty, they drive more revenue close in, so that is also a good sign that continues to bode well for consistent growth in North America contract. And would also add that you look at kind of the pull ahead that we talked to you about in Q4 and what's happening in Q1 and what we expect for Q2 is unfolding exactly as we thought it would. We feel good about the results. We feel good about what we're seeing in the trend, especially in North America. Would you add anything, John?
John Michael: No. I think that's spot on, Andi.
Reuben Garner: Well, how about any discounting? I understand that the surcharges and tariff pricing, but has there been any increase in discounting necessary to win projects or has that been pretty stable?
Andi Owen: You know, that's been pretty stable for us, Reuben. We haven't seen increased discounting at this stage. We feel good about that trend holding steady.
Reuben Garner: Okay. And then my last question is on retail profitability. In the press release, you listed a few sources of what appear to be near-term pressures. Can you break down the freight, new store expenses, and there was one other bucket, the tariff-related, those three items, how much in either dollars or basis points did those drag the retail margins on a year-over-year basis? And then how the new store expense in particular, like, how is that gonna play out through the year? Is that something we should expect in each of the next three quarters, and then next year, we'll get relief? Or how do we map that out? Thank you.
Andi Owen: Those are all great questions. I'm gonna let Kevin break down the details about a high level, Reuben. The bulk of what you'll see as margin degradation is really new store expenses. So we're being aggressive in opening more new stores than we have before. So you will see in Q1, Q2, and Q3 those expenses will hit our bottom line, but you will also see as we get further into the year the revenue from those new store locations starting to minimize that impact. We imagine that by the end of Q4 and going into Q1 of next year, those stores will start to be accretive to the top line and the bottom line. But this year, these first three quarters, will see a margin impact. And also from a tariff perspective, and Debbie can speak to this in a little bit more detail, we had a little bit of unplanned tariff expense this quarter based on mix and what customers bought and really trying to guess where our tariff expense would be based on how customers actually fill the revenue cart. So that's one of the other factors. What would you add, Kevin?
Kevin Veltman: Yeah. Just to break down and maybe a reminder, Reuben, that Q1 is always our lowest seasonal point in the retail segment. So from an absolute margin, that would be a lower volume quarter for us. And then we build in the other quarters. But of that 190 basis points for the retail margins are lower than last year from an operating margin perspective, as Andi mentioned, the new stores would be more than half of that. And then the impact of tariffs and the freight would kind of split the difference between the remainder.
Reuben Garner: Can I squeeze one more small follow-up in? Is the new store impact at both the gross margin and operating margin line? Or were there other factors impacting gross margin, whether it's product mix or door or some other driver?
Kevin Veltman: The new store costs are in the operating expense, so they're impacting the operating margins. You'd have those other items up in gross margins.
Andi Owen: The only other thing in gross margin was some unfavorable FX impact this quarter versus last year.
Reuben Garner: Perfect. Thank you, guys, and good luck.
Andi Owen: Thanks. You too.
Operator: Thanks. And our next question comes from the line of Greg Burns with Sidoti and Company. Greg, please go ahead.
Greg Burns: Good afternoon. Just wanted to talk a little bit about the recent consolidation. Does that in any way change the competitive outlook for you in terms of how you go to market? And do you feel like there needs to be maybe further consolidation, or is M&A or acquisitions on the table for you in terms of maybe gaining greater scale in any areas of the business? Thanks.
Andi Owen: Listen, I think consolidation for the industry where we are right now is a good thing for all of us. I do think that the industry has shifted to growth mode. So I can't say whether I anticipate further consolidation, but I think it presents opportunity for all of us. So from our perspective, we're excited. We think we're competitively differentiated. We know what integrations will be like, so we are looking forward to the opportunities that it presents for MillerKnoll. And as far as M&A acquisitions, we are always opportunistic in that arena.
Greg Burns: Okay. And I know you're focused on the retail business in North America. But can you just maybe talk about the rest of the world? It seems to be lagging kind of the performance that you're delivering in North America. Longer term, maybe what your view is for those markets, how you might be able to bolster them or have them catch up to what you're doing in North America?
Andi Owen: Yeah. I think it's a smaller part of our business, but I think just as a reminder, Greg, that the international markets are primarily wholesale, and they have been slower to recover from over-inventory in COVID, but we are seeing them start to rebound. I think it's a little bit of a slower trend. I'll let Debbie elaborate, but I think it is an area that will grow for us and continue to grow slowly, but in the future. Probably not this year. What would you add, Debbie?
Debbie Propst: I'll just start by saying where we do have DTC internationally, we're pleased with the growth performance we're seeing in those channels, and as Andi suggested, the more challenging areas are wholesale business. Where we're still sort of beholden to the lack of to buy with the dealer or retail network that we sell through. However, we're seeing some green shoots, particularly with our Hay and Mitchell brands, which hit a lower price point within our portfolio and seeing progress this quarter already with our Knoll and Herman Miller brands.
Greg Burns: Okay. Thank you.
Operator: And our next question comes from the line of Doug Lane with Water Tower Research. Doug? Please go ahead.
Doug Lane: Yes. Hi. Good evening, everybody. Thank you. I'm trying to understand how these tariffs have impacted your business because there's a lot of moving parts as a result of all this. Can we start with just in the first quarter, had $8 million of net tariff-related impact? And does that mean there was some mitigation to the tariffs? You did get some pricing or some cost reductions, or is that mostly just the cost of the tariffs at this point?
Kevin Veltman: Yeah. Doug, this is Kevin. Exactly right. The point of the net is to say we've been working on pricing. We put a surcharge in place. We had a price increase in June as well. And the way it works for us is those take a little while to flow through back and through our contracts with customers. So the net impact in the short term is the $8 million that we called out from a pressure perspective. We expect that to be less in Q2, $2 million to $4 million of net impact. And then when we get into the back half of the year, we believe our pricing mitigation actions will be offsetting those costs based on the current tariff environment.
Doug Lane: Oh, okay. So well underway to the mitigation efforts. And the disruption to order patterns because of the buy ahead for the tariffs. Sounds like it's pretty much behind us and the way to address that is to sort of look at the fourth quarter and first quarter in aggregate to capture the broader trends. And then beginning in the second quarter, we kind of, I don't want to say back to normal, but back to more normal ordering and sales patterns.
Kevin Veltman: Correct. And that's what we felt like in looking at the order rates in the first three weeks of the quarter. We feel like we're in a more normalized place related to that. The other way we tried to cut through that noise in our prepared remarks was to say sales year to date through Q2, including the midpoint of our guide, are up 3.8% on a consolidated basis. That takes out some of that noise for you.
Doug Lane: Right. Right. No. That's very helpful. And then, you know, at the adjusted operating profit line where margins are up in the quarter, I know you don't have a full year number out here. But should we be modeling improvements in the adjusted operating profit margin for this year despite all these cross currents?
Kevin Veltman: Yeah. On that front, we'll hold off on commenting with the uncertainty that's out there in the macro. We're guiding right now on a quarter-to-quarter basis as opposed to still watching visibility, feeling fairly limited out beyond that.
Doug Lane: Okay. Fair enough. Thank you.
Operator: There are no further questions. We turn the floor back to President and CEO, Andi Owen, for any closing remarks.
Andi Owen: Thanks again, everyone, for joining us on the call. We really appreciate your continued support of MillerKnoll, and we look forward to updating you on our next quarterly call. Good night.
Operator: That concludes today's conference call. You may now disconnect.